Operator: Good day ladies and gentlemen and welcome to the Q1 2012 Flower Foods Earnings conference call. My name is Andrea and I will be your operator for today. At this time, all participants are in a listen-only mode. We will conduct a question and answer session toward the end of the conference. [Operator instructions] As a reminder, this call is being recorded for replay purposes. I would like to turn the call over to Ms. Marta Turner, Vice President of Corporate Relations.
Marta Turner: Thank you, Andrea, and good morning everyone. Our first quarter results were of course released this morning and the 10-Q was also filed, so you’ll find those if you need a copy. During the call we’re going to be using a PowerPoint presentation, and of course you can access those on the speaker, the webcast listen page of our website. Before we get started, I must remind you that our presentation today may include forward-looking statements about our Company’s performance. While we believe our statements to be reasonable, those statements are subject to risks and uncertainties that could cause actual results to differ materially. In addition to the matters we’ll discuss during the call, important factors about Flowers Foods’ business are detailed more fully in our SEC filings. Now turning to the call, with us today we have George Deese, Flower Foods’ Chairman and Chief Executive Officer; Allen Shiver, President; and Steve Kinsey, Executive Vice President and Chief Financial Officer. To get started, Mr. Deese.
George Deese: Thank you, Marta. Good morning to each of you and welcome to our first quarter conference call. As always, we thank you for your continued interest in Flowers Foods. I’m pleased to report we delivered sales growth of 12% for the quarter which shows the strength of our DSD business, the Nature’s Own and Tastykake brands, and our ability to grow in new markets through acquisitions. As we discussed at our analyst day in Philadelphia in March, the marketplace continues to be challenging and promotional activity robust as volume remains under pressure in the baked foods category. Even so, our expansion markets across all regions delivered growth with a goal for half to 1% of sales each year. New products also performed and they are expected to reach 5% of sales growth. In addition, our DSD business achieved our third consecutive quarter of positive volume growth. On the earnings side, we delivered in line with the Street expectations of $0.28 per share, but as we had told you to expect, headwinds from our input costs were a significant factor that impacted the bottom line and put pressure on our margins. We continued our efforts to improve operations and productivity levels, which will contribute to the bottom line and as move forward as our costs improve later in the year. Now I’ll take time to give the highlights for the quarter as I see them, and Allen and Steve will fill in the details. We completed a $400 million bond offering which will be used for our future acquisitions, general corporate purposes, and working capital. We announced an expansion in our Oxford, Pennsylvania bakery that will add bread and bun capacity to help us extend our geographic reach further into that region. We introduced Nature’s Own and other Flowers bread, bun and rolls to the Philadelphia market which adds another 3 million consumers to the population base we serve; and the integration and synergies of our Tasty acquisition are right on track and sales and earnings also are tracking in line with our expectations. Now I will turn the call to Steve Kinsey for more information on the financial details. Steve?
Steve Kinsey: Thank you, George, and good morning everyone. Just a quick reminder that the results of Tasty Baking are reported in the direct store delivery, our DSD segment of the business. As George said, we did meet consensus expectations from an earnings perspective in the quarter. Earnings for the quarter were also roughly in line with our internal forecasts. Input costs in the quarter, excluding the effect of the Tasty acquisition, were up approximately 12% with all major categories of cost, with the exception of natural gas being up quarter-over-quarter. The category continues to be very competitive, as Allen will discuss in a moment, and in the quarter we did absorb approximately $700,000 of unplanned interest expense related to the issuance of the 400 million 10-year senior notes, which I will discuss more fully in a moment. Our integration of Tasty is going well and results are tracking within the ranges that we announced at the time of the acquisition. For the quarter, the Tasty EBITDA contribution was in line and they contributed approximately $0.01 to the quarter earnings. Full-year earnings are tracking on target with our full-year expectation of earnings per share of $0.04 to $0.06 that we provided earlier, and we are scheduled to have Tasty fully integrated into our ERP systems by the end of the second quarter. Turning to the quarter, consolidated sales in the quarter were up 12%. The core business posted a 4.1% sales growth with price mix contributing 2.4% to that growth. Increases in price were offset somewhat by a negative mix. Volumes were up 1.7%. The Tasty Baking acquisition contributed 7.9% to the overall revenue growth in the quarter. Excluding the Tasty Baking acquisition, overall growth in the DSD segment was strong at 4.2%. Price mix contributed roughly 3.4% of the growth with DSD volumes up 0.8%. The DSD growth was driven by Nature’s Own (inaudible) store brand and growth in non-retail. The store brand growth came primarily from new business with certain existing customers. The non-retail growth in the quarter was due to increased volume with existing and new fast food and restaurant customers. Sales in the warehouse group were up 3.8% over the prior year’s first quarter. Overall mix was relatively flat for the quarter with incremental pricing being offset by a negative mix. Volume was up 4%. Volume increases were driven by branded cake, food service, and contract manufacturing. Increases in these categories were primarily offset by declines in store brand cake and vending. Consolidated earnings before interest and tax, or EBIT, in the quarter was down 2.3 million or 3.7% from last year’s first quarter. Adjusted for last year’s one-time items related to the plant closure and the Tasty acquisition costs, EBIT was down 8.8 million or 13%. The DSD EBIT was down 0.6% quarter-over-quarter on a GAAP basis due primarily to the higher input costs. On an adjusted basis, DSD EBIT was down 8.85. Warehouse EBIT declined approximately 15% in the quarter, primarily the result of higher input costs and pricing pressure. Earnings per share on a GAAP basis was down $0.02 or roughly 7% compared to the prior year first quarter. On an adjusted basis, earnings per share was down $0.05 or roughly 15.2% compared to the prior year. The decline was primarily the result of higher input costs and the inability to fully price to protect margins within warehouse. The approximately 200 basis point decline in gross margin quarter-over-quarter is primarily the result of a significantly higher input costs, primarily flour, shortening, oil, and sugar. Excluding the impact of the Tasty acquisition, input costs, defined as ingredients, packaging and natural gas, as I said, were up approximately 12% quarter-over-quarter. In the quarter, Tasty had a positive impact on gross margin of 10 basis points. The DSD gross margin in the quarter was down 250 basis points to 51.3%. Excluding the effect of last year’s one-time costs, DSD gross margin was down approximately 300 basis points, and Tasty did negatively impact the DSD gross margin by roughly 60 basis points. The warehouse segment gross margin in the quarter was down 110 basis points to 25.6% of sales. Selling, distribution and administrative costs in the quarter as a percent of sales were down about 60 basis points. Overall, SG&A dollar increases were driven primarily by higher selling and distribution costs. The decrease in SG&A as a percent of sales was driven by lower workforce-related costs and the effect of the one-time cost last year in the first quarter. EBITDA in the quarter was down roughly $600,000 or 0.6% from last year’s first quarter. Adjusted for last year’s one-time item that we discussed above, EBITDA was down 6.5 million or roughly 6.8%, again the decrease being driven primarily by the higher input costs. Turning to the balance sheet and cash flow, cash flow from operations during the quarter was negatively impacted by lower net income and pension contributions. Pension contributions in the quarter were approximately $12 million. Also during the quarter, we spent 14 million in capital expenditures and paid dividends of approximately 20 million. We repurchased approximately 70,000 shares for 1.4 million under our share repurchase plan. This leaves us with approximately 7.1 million shares available for repurchase under this plan. During the quarter, as George said, we did issue 400 million of 10-year senior notes yielding 4.375%. Proceeds from the note issuance were used in the short term to reduce outstanding debt on our revolver, and the remaining proceeds will be used for acquisitions and general corporate purposes. We ended the quarter with 497 million in debt or 1.8 times trailing 12-month EBITDA. We also had approximately 186 million of cash on hand, so our net debt was approximately 311 million. Net interest income for the quarter was down quarter-over-quarter due primarily to higher interest expense resulting from debt related to the Tasty Baking acquisition and the issuance of the senior notes. Based on the step-up in leverage, we now estimate interest expense for the full year to be approximately $21 million. Based on the increased interest expense as a result of the senior notes, earnings per share for 2012 is now expected to increase roughly 3.8% to 8% over the 2011 adjusted earnings per share of $0.96. The earnings per share forecast does not include future acquisitions. With the announcement of the expansion of our Oxford bakery, we now expect 2012 capital expenditures to be 75 million to 85 million. Thank you, and now I’ll turn the call over to Allen.
Allen Shiver : Good morning everyone, and thank you Steve. Our strategy to grow the top line through acquisitions, expansion and new geographic markets, new products and new business drove our strong top line performance for the quarter. From an operating standpoint, the first quarter’s challenges were similar to those that we discussed last quarter: higher input costs, volume shifts in certain DSD product categories, and continued pricing issues in some of our warehouse segment business. On the positive side, the pricing we took late last year in our DSD business helped to offset much higher year-over-year input costs. Also, our manufacturing team hit record levels of productivity and efficiency in the quarter, and as you heard earlier, once again we achieved positive volume growth. For the quarter with Tasty, Flowers’ internal sales data shows our total sales were up 9.6% in units and up 12% in dollars. Excluding Tasty, Flowers’ total sales were up 1.6% in units and up 4.1% in dollars. Sales of our Nature’s Own brand of soft variety breads were up 3% in units and up 7.7% in dollars in the quarter. Our Nature’s Own brand continues to resonate with consumers, as it has for decades. Today, many consumers are looking for whole grains, added fiber content, and reduced calories, and Nature’s Own fits all those needs. Currently, soft variety is the largest segment in dollars for the total U.S., now even larger than white bread. As the number one brand in this segment, Nature’s Own is ideally positioned to capitalize on the growth in this important category. While the soft variety bread category is growing, other categories such as traditional white bread continue to trend down slightly. Increased sales of Nature’s Own helped to offset lower sales of our regional white bread brands. Price elasticity is a bigger factor in certain bread segments, including white bread. Premium white breads like our Nature’s Own White Wheat and Nature’s Own Butterbread are more resilient to price increases than our original white bread brands. Also during the quarter, our private label sales increased primarily due to new agreements with certain private label customers. Tasty continued to perform to our expectations, and as Steve mentioned, the acquisition was positive to earnings. Tastykake continues to gain shelf space and consumer acceptance in our core markets throughout the southeast and Texas. Our sales team and distributors are excited to have the Tastykake brand, which is already Flowers Foods’ second largest brand; in fact, Tastykake’s annual sales is approaching 300 million at retail. We continue to execute a very effective public relations campaign as we introduce Tastykake into new markets using a mix of product sampling, broadcast media, and social media. Our expansion markets in the DSD segment grew in line with our goals and delivered just under 1% of our sales increase. As you know, our strategy for expanding our geographic footprint is to grow into new markets with high population densities that are adjacent to our existing DSD territories. For example, we have been selling our bread products in parts of Pennsylvania for over a year, and in late April we introduced Nature’s Own and other Flowers brands in the Philadelphia market. In anticipation of continued growth in Pennsylvania, we also announced in April that we will add capacity for bread at our Oxford, Pennsylvania bakery, which is one of two bakeries we gained from the Tasty acquisition. We will invest about 31 million in the Oxford bread line product over 2012 and 2013. In the future, we will also add a bun line in the Oxford bakery. In the meantime, our existing bread lines in adjacent markets are providing products for our new markets in the mid-Atlantic. We remain encouraged by the acceptance of our brands in the northeast and we continue to finalize our plans for additional growth opportunities in these heavily populated markets. In the warehouse segment, we achieved volume increases driven by new business, and while warehouse margins remain under pressure, we have made progress with some of the pricing we needed to offset higher commodity costs. However, we still have work to do to return to the margins we’ve historically achieved in this segment. Turning to food service, you’ll see that so far this year we are outpacing the industry. During the first quarter, Flowers’ total food service was up 4.75% over the prior year, again outpacing industry growth of 4.3% as reported by Technomics. Our food service growth continues to be driven by new business that started in mid-2011. We also continue to grow our food service business with existing customers, especially in our DSD expansion markets. During the quarter, our manufacturing teams reached a new level of efficiency at 93.7%, and pounds per oven hour continued to increase. I want to recognize the exceptional efforts on the part of our bakery teams who constantly focus on making our business better, and once again in the face of challenging commodity cost increases, our team continued to find ways to raise the bar in terms of productivity. We are also nearing the completion of the Tasty integration, which will be finished this summer. I’m very proud of our team both at Tasty and at home office that have worked so well together to make this acquisition successful. Our operational success with Tasty once again demonstrates our teams’ ability to successfully integrate a large organization into Flowers Foods. As I close out the operations report, I want to comment on the changing marketplace dynamics. As industry consolidation continues, Flowers Foods has emerged the clear number two baking company in the U.S. For more than 90 years now, we have built a reputation with our trade customers of being a trusted partner that provides both high quality products and unmatched service. Today more than ever, our trade customers are confident in our ability to meet their needs, even as the landscape of the baking industry changes. We don’t take that responsibility lightly and we work daily to maintain the trust of our customers and our consumers. Thank you for your attention, and I’ll now turn the program back to George.
George Deese: Thank you, Allen, for the update. While we don’t have a crystal ball to predict the future, I can tell you we have an excellent, experienced team who will take advantage of opportunities as they present themselves. I believe we have the products, the brands, access to market and outstanding bakers to achieve good results going forward. I believe our company’s future is bright with opportunities to grow our core business as well as take advantage of acquisition opportunities. The consolidation of the baking industry will continue and Flowers Foods is in great shape to add to the base of our company, and most of all to add value for our shareholders. I trust that today we answered many of your questions in our presentation. We will now take questions we did not address. Andrea, we will now open the mic for questions.
Operator: Thank you very much. [Operator instructions] The first question is coming from Farha Aslam from Stephens. Please go ahead.
Farha Aslam – Stephens: Hi, good morning. First, just some questions on your core business. When we look at IRI, and admittedly IRI doesn’t cover your entire business, it looks like you’re really outperforming the category in bread but are finding it difficult to outpace the category in fresh buns and rolls, as well as cupcakes and brownies. Could you just give us some color regarding the three different segments?
Allen Shiver: Yeah Farha, this is Allen. I’ll try and answer your question. One of the things that you’ll notice in our comments today that we did not reference IRI data. IRI had some issues regarding their database that affected just this past quarter, so that’s one of the reasons we didn’t reference IRI data in today’s call. But again, overall I would say that we mentioned the strength in the soft variety category. White bread continues to be soft in the—I don’t know if you asked the question about private label, but in the private label segment we continue to see private label trending down from a category standpoint. And overall in the cake segment, while the cake category is not up, we are seeing growth in cake primarily with the Tasty rollout that we talked about earlier.
Farha Aslam – Stephens: So in terms of competitive activity, you’re not seeing unusual competitive activity in cake or in rolls?
Allen Shiver: Farha, really in the cake side there really has been no real change in terms of the promotional activity in cake. The category is pretty consistent with what we’ve seen; and buns and rolls is always a very promotionally oriented category. Quite frankly, we’ve led the market in some of the bun and roll pricing and we’ll be regaining some of that volume back as we get into the summer months.
George Deese: Farha, I would follow up on the cake side for just a moment in the core Philadelphia market. First quarter last year, of course, we didn’t own the business – Tasty was still trying to work out from under their issues, and they really put a lot of promotions into the market first and second quarter. We maintained some of that through the rest of the year. We did not promote personally as much first quarter this year versus what Tasty was doing, and we wanted to monitor that and see how it looked. So you might see a little blip there in the core market – that is the reason. I think there were extraordinary things going on in the market last year that were not repeated this year, so I think that would explain that particular market.
Farha Aslam – Stephens: That’s helpful. And then George, in terms of acquisitions, could you just give us some color about how the M&A landscape in the baking industry is shaping up right now?
George Deese: Now Farha, you know I can’t say too much here. But what I would say – I think you know that we’ve continued to say the industry is consolidating. I cannot speculate on any specifics. I would say, though, that the industry will continue consolidating, and I don’t know anybody in a better position to take advantage of these opportunities than Flowers today. So we are optimistic. Some years we’re more optimistic than others, but we are optimistic on going forward with opportunities.
Farha Aslam – Stephens: Understood. And my final question for Steve – you said that interest expense is going to be 21 million. How much is interest income going to offset that, and kind of net interest expense, what do you expect that to come in for 2012 and 2013?
Steve Kinsey: The interest income should be roughly in line with prior years. I think it’s around 13 million.
Farha Aslam – Stephens: Okay. Thank you very much.
Operator: Thank you very much for that question. Our next question is coming from the line of Eric Katzman from Deutsche Bank. Please go ahead.
Eric Katzman – Deutsche Bank: Good morning everybody. I guess—so just as a follow-up to Farha’s question on the details of the interest expense, so your adjustment to EPS, is that just entirely reflective of the net higher interest expense, or is there something else going on in the adjustment?
Steve Kinsey: No, Eric. The primary adjustment there is all related to the interest expense. Based on our earlier forecast before the bond, we’re about $10 million higher in interest expense.
Eric Katzman – Deutsche Bank: Okay – net?
Steve Kinsey: Yes, net.
Eric Katzman – Deutsche Bank: Okay. And on the—I don’t know, sorry I had to step out for a second, but on the segment results in the press release, you talked about lower packaging costs helping warehouse but hurting DSD. How can that be?
George Deese: Eric, this is George. We would have to look at that and come back to you. I think we’ve got a misinterpretation there. I need to look at it, though, and we’ll get back to you on that particular subject.
Eric Katzman – Deutsche Bank: Okay, all right. And then can you update us at all on what you’re hearing from retailers, and maybe Farha asked this and I missed it, but can you update us on what you’re hearing from retailers vis-à-vis their looking at Hostess’ business today, whether it’s on the snack cake side or the bread side, and what that means for you and the other competitors in terms of shelf space?
George Deese: Eric, what I would say specifically – and I can’t comment on the competitors’ standpoint – there is a level of trust that Allen talked about with our customers. We are loyal; we work hard to try to generate good returns for our customers. They are really counting on us. Allen pointed in prepared remarks that we were clearly the number two baker in the United States now, which we pinch ourselves and say is that true? We know it is, and we’re happy about that. But we’re not satisfied with that because the end result, we’ve got to do a great job in the marketplace and continue to grow the category. So I can’t comment on what they say at the competitors. All I would say is there is a lot of faith and trust in what Flowers can do in its existing market and as we push out to these other markets. They have to take care of the marketplace.
Eric Katzman – Deutsche Bank: Okay. And Allen, I think you made some comments about the category and it still being competitive, but are you all still seeing the rollover as the paycheck cycle hits in terms of, like, within a month or within the quarter? Has that changed at all, or is it still pretty tough as the month comes to an end and people run out of money?
Allen Shiver: No Eric, it has not changed; if anything, the first of the month continues to be strong on sales. And as you mentioned, by the time they get to the end of the month, the cash is running out; and I think the challenge for us and what we’re working hard on is on our forecasting systems. You know, we’re selling a perishable product so it’s important that our forecasting systems reflect the first of the month versus the end of the month. So the situation with consumers has not changed.
Eric Katzman – Deutsche Bank: Okay. All right. On that depressing note, I’ll pass it on.
Steve Kinsey: Hey Eric, this is Steve. Just real quick on your comment on packaging – that was as a percentage of sales. I don’t think that was in absolute dollars. Does that clear it up for you?
Eric Katzman – Deutsche Bank: Well no, because whether it’s on a percentage of sales basis—like, on the DSD I think you had here – where is it? – the decrease in profit was due to higher ingredient and packaging costs, right? And then under warehouse it says basically, these cost increases were partially offset by lower packaging. So you’re saying one is dollars and the other is percentages? You see what I’m getting at?
Steve Kinsey: Yeah, let me get that for you offline. It may have something to do with the type of packaging. It may just be certain types were down.
Eric Katzman – Deutsche Bank: Okay. All right, thank you.
Operator: Thank you very much for that question. Our next question is coming from the line of Mitchell Pinheiro from Janney Capital Markets. Please go ahead.
Mitchell Pinheiro – Janney Capital Markets: Hey, good morning. The one thing—like, I saw today’s IRI data and volumes have been down about 5% consistently in the category – 5%, whether you look at a 52-week basis, 12-week or 4-week. And private label, as you mentioned, was weak. I mean, 5% is a big number. I don’t think we’ve seen this kind of category weakness since—I mean, I don’t even think it was this bad during the Atkins days. I kind of joke and think people are eating the ends of the bread these days, but how do you see volume down that big in such a staple type of category?
George Deese: Mitchell, I would say a couple of things and then let Allen fill in. I think you’ve got so many more channels today that are not measured. Five percent for us IRI represents about 48% of our retail sales, I believe is the number; so you’re only seeing half the picture or less. There will still be more outlets that sell product breads that is not captured on anybody’s scanning data at this point, and I know some of that will be changed in the near term as some mass merchandisers, I think, get more involved in the process. But there’s still a lot of different outlets – drug stores, for an example – and other issues that continue to feed into the marketplace somewhat, convenience and so forth that continues (inaudible). But overall, I’d say the consumer, as Allen said, is very cautious. I don’t think we’re seeing pantry buying. I think also it’s been pointed out in the grocery industry that the smaller family situation, a lot of single—actually single family now, patterns have really changed as far as going to the retail supermarket and the items they are purchasing. The families get smaller and smaller in household penetration.
Mitchell Pinheiro – Janney Capital Markets: How does your share look in these alternative channels relative to your share performance in the measured channels? Are you under, over, indexed in the others? How do you feel about that (a) as an opportunity, or (b) as a weakness?
George Deese: Yeah, that’s why Allen did mention today that we are looking more and more to our internal numbers like sales data at our warehouse. Allen, why don’t you fill in the rest?
Allen Shiver: Yeah, Mitch, I would say that in the channels that are not measured by scan data, I would say our results are good, if not strong. We look at our internal numbers by channel, by customer, and I would say that we’re doing a good job in those channels that are not monitored. So it’s really the combination of what George mentioned as far as unmonitored channels, and then the consumer is still under pressure. They’re not making probably the impulse purchases that maybe they did in the past; but on the other side, we’re seeing those expensive retailers that are targeting an upper end consumer, we’re seeing those retailers doing very well. So I think overall the category is healthy. There is a lot of moving parts right now, but I think long-term the forecast of the category is still very strong.
Mitchell Pinheiro – Janney Capital Markets: Is there any material difference in margins or profitability in the measured channels versus the unmeasured channels?
Allen Shiver: It’s not material. You know, Mitch, every situation is a little different, but I would say the unmeasured channels are not any more profitable or less profitable than the measured channels.
Mitchell Pinheiro – Janney Capital Markets: Okay. And then can you talk about as you expand – I ask you this occasionally – but as you expand, let’s say into Philadelphia and you roll out stronger on the west coast and other new markets, is there any earnings drag as you roll out, and did that have and will that have an impact for the rest of this year?
George Deese: What we’ve promised over the years, Mitch, going all the way back to San Antonio meeting ’04, I believe, what we promised was and we announced in the (inaudible) of the market, we said we’ll do this on a predictable, sustainable standpoint so we will not drain the bank in our expansion, and we have religiously made sure that that is true. You could probably say, well, you’re not making a big enough impact on sales right up front, but it is calculated in what we do so that we’re not taking a lot of money out of the bank in these expansions. I think that’s served us well. We will continue to grow market share in those new markets, as I pointed out that half to 1% every quarter through the year. So as we go into Philadelphia, there could be a drain – not a big drain. There could be a small loss, but we always said within a year we saw that loss sort of goes away, and from then on it looks good. But even that is not a big loss in the big scheme of things. It’s a small, manageable equation that we feel very comfortable with, and that’s always in our numbers and our forecasts, and of course you see the past results of it.
Mitchell Pinheiro – Janney Capital Markets: Okay. And just last question – maybe Steve, where were some of these cost savings from the administrative and other operating costs, what types of savings did you see in the quarter, and are they sustainable?
George Deese: I’ll point out a couple and let Steve follow up. I think we said a couple quarters ago we were getting a lot more productivity out of the plant activity, and I’ll let Steve address the administrative side, and Allen commented in his report we’re seeing more pounds per hour out of our plants. That’s certainly productivity-driven, and less shrink on the waste side, and just more productivity on that side of the business. Steve, anything on the administration side you’d like to mention?
Steve Kinsey: Yeah, I would say, Mitch, on the administrative side as we continue to integrate Tasty, we did drive out some costs there as a percent of sales. Bringing that into the mix, that helps the overall decrease in the workflow as a percent of sales there. And then we did have some internal initiatives that in the past, we’ve always been a company that looks at our cost structure and looks at how we’re performing, that I would say we probably have implemented that may not be 100% sustainable but they do in the short term help us try to get things back on track from an earnings perspective.
Mitchell Pinheiro – Janney Capital Markets: Okay, thank you very much.
Operator: Thank you very much for that question. Our next question is coming from the line of Tim Ramey from DA Davidson. Please go ahead.
Tim Ramey – DA Davidson: Thanks so much. Steve, am I right in thinking that the basis point bump on the interest cost on the notes was about 250 basis points relative to where your revolver was priced?
Steve Kinsey: That’s probably a little high, but that would be within the range, Tim.
Tim Ramey – DA Davidson: Okay. So that was a bold move to do that, and I’m just trying to—maybe you or George can chat about the desire to go out and raise that much financing at that steep a cost, you know, incremental cost. Is that just a longer term view on interest rates, or is a pre-positioning for something that’s a pretty substantial bite?
George Deese: Tim, I’ll take a stab. I think in five years from now, we’ll look back and say it was great we did it. We think the timing was right. We do see—we said we’re using this for general corporate purposes. We also said that we are looking at the M&A activity and acquisitions too, so that’s about all I can say. But we did feel like with the historically lower interest rates, it was the right thing to do with opportunities that present themselves going forward.
Steve Kinsey: Tim, just a follow-up on that. It gives us—it allows us to strengthen the balance sheet more from a liquidity perspective as we free up the revolver; and as George said, the purpose of the notes was for general corporate purpose and M&A activity, as well as short-term liquidity. So we think this strengthens our balance sheet as we move forward.
Tim Ramey – DA Davidson: Sure. And then just—you know, volume looked better than it has in a long time, a little improvement in the DSD side but pretty significant in the warehouse side. You did mention you kind of were chasing the market down in terms of price there, and maybe there would be more market share to come. Can you talk about—this maybe ties back to Mitch’s question. Is the category really weak like IRI says it is, or do we really have to be very price promotional to get volume? What would be your outlook on that for the remainder of the year?
George Deese: Tim, I will say and repeat it, I think the consumer is under pressure. I think that’s a given. Even though occasionally you feel better about where things are, when you can see things looking better from an overall standpoint in the United States, and something happens in Europe or something happens around the world, it is a world economy now – we all know that, and it does affect different markets. The instant news from around the world does have impact and you can see it, so I think the consumer is bothered by that somewhat. We do see jobs maybe flattening out at this 8.2%. We hope for better, and that would really hope with overall confidence. Coming back to the promotional, so I think we do have to give consumers a reason to stay in our category through innovation, and certain categories more promotional activity will go on until we see all that get to a level that we think promotions have in years gone by, then when the company gets a lot better you don’t have to promote nearly as much. So I still call it as – and I’ve seen several companies say this – I still think this is temporary. What is temporary? Is that one more year of it, or two more years? I don’t think it’s forever. I think things will get better on the margin side in Flowers Foods and I think the overall food category as we go forward. We still have more time to go, but we are at historical lows—almost historical lows on our margin, and I don’t believe we’ll stay there forever.
Tim Ramey – DA Davidson: Got you. Thanks so much.
Operator: Thank you very much for that question. Our next question is coming from the line of Heather Jones from BB&T Capital Markets. Please go ahead.
Heather Jones – BB&T Capital Markets: Good morning. You may have said this and I missed it, but I was just wondering if you could give us an updated ingredients outlook for the year. I think your last call, you’d said up 5 to 9 for the full year.
Steve Kinsey: Heather, this is Steve. We said up 6 to 9 for the full year. We’re really not changing that. I would say we’re tracking on the lower end of that range, but I would want to remind you that the first half is still a very tough comp year-over-year. We won’t see any relief probably until the back half.
Heather Jones – BB&T Capital Markets: Okay. And then on the capacity side, we’ve seen a number of announcements of capacity closures in the industry, and some look like they’re pretty small but some look like they could be meaningful. But we’ve also seen some of your competitors talk about new plant construction and some expansions. I’m just wondering if you have a sense of on a net-net basis, are we seeing capacity come out of the industry?
George Deese: I think you are seeing capacity come out of the industry, and most times when you see it come out, I think it is inefficient capacity, probably. So some capacity is coming out, but I think as you’ve seen Flowers do for the past six, seven years, we keep putting in more automated and efficient equipment which yields and keeps our pounds per hour improvement continues to move forward. I think the industry has do this, and I’ve seen and you’ve seen Bimbo say in their announcements about new plants, and they’re going to continue to work on their older plants and inefficient plants. And I think that’s just the cycle we’re going through in the baking industry, an industry in general that any of us who have capacity that is not generating true benefit and true value, that you have to look at it and look strong because the marketplace will not let you afford to have something that is not as productive as it should be.
Heather Jones – BB&T Capital Markets: And clearly Hostess’ pension liabilities are well publicized, and I believe Bimbo has quite a few as well. Do you have a sense of—I mean, in very rough numbers, what proportion of the competitive set has these pension issues because that seems like that could really spiral going forward and make uncompetitive producers even more uncompetitive.
George Deese: I can’t, Heather, specifically. I think you said it – Hostess has a lot, and I’m not sure how Bimbo stands on theirs. But as you look at certain parts of the nation, you have more of it than others, so I couldn’t be specific on any of that.
Heather Jones – BB&T Capital Markets: Okay. And finally in the acquisition market, Hostess clearly has it’s issues; Bimbo seems like it’s focused on integrating Sara Lee, so there’s not a lot of large buyers out there. Are you seeing these private companies become more muted in their expectations as far as a multiple paid? I mean, what are you seeing there?
George Deese: Heather, all I’d say is any time wants to sell, they want full value for their business. I would say that.
Heather Jones – BB&T Capital Markets: So you haven’t seen any change in those expectations over the last couple of years, also just given how difficult the environment has been?
George Deese: I’d say no.
Heather Jones – BB&T Capital Markets: Okay. All right, thank you.
Operator: Thank you very much for those questions. We have another question. It’s coming from the line of Akshay Jagdale of Keybanc Capital Markets. Please go ahead.
Akshay Jagdale – Keybanc: Good morning. First question is on the channels and how they performed, specifically food service growth and the impact and sustainability of that growth. I mean, we’ve been following. Our view has been that the recent weakness in industry grocery volumes has been because people are eating out more, and it seems like your food service business did really well this quarter and I don’t remember a time when it was this strong. Can you talk about from a volume perspective how well the food service business did? And maybe just before you answer that, you said your sales growth was in line with your expectation prior to the quarter. How did it compare from a channel perspective? I mean, was retail worse and food service better, or it was pretty much in line?
Allen Shiver: Akshay, this is Allen. I’ll mention food service just in general. We were encouraged that we saw an uptick in our overall food service business. If you read the Technomics data, they are reporting some consumer pick-up in food service, which again we are encouraged. I would really say that our improvement in food service was probably not so much the category improving but with additional business, new accounts that we picked up, and I mentioned that we picked a lot of those up in ’11 and now those are carrying forward. Also as we extend into new markets, our DSD routes can serve more of the existing food service accounts that we’re serving in our core markets, so we’re picking up additional food service business as we expand with our DSD routes into new markets. That is really kind of an overall, general comment on food service. I’m not sure specifically if we want to pin down exactly the numbers. Steve?
Steve Kinsey: No, I think our comment on in line had to do with earnings, Akshay.
Akshay Jagdale – Keybanc: Okay, so on the sales side, can you help me – was food service a little bit stronger than you had expected and retail a little bit weaker? Would that be a fair characterization, or not really?
Allen Shiver: I wouldn’t say food service was stronger than expectations. Quite frankly, hopefully food service is even stronger than the results we turned in, but we were pleased to see—food service had been flat to down slightly. We were pleased to see a turnaround there. You mentioned the product segments, and we talked about those a little earlier. We were encouraged to see our soft variety Nature’s Own brand do very well in the quarter. Other segments remained under pressure – you know, I mentioned white bread, branded buns and rolls, specialty breads, and some of the other product classes remained under pressure, and we’re focused on those as well.
Akshay Jagdale – Keybanc: Okay, that’s helpful. And Steve, on the cost side, you mentioned tracking towards the low end of the 6 to 9. What about the spike in wheat recently? I mean, it’s up 10% in the last five or six trading days. How does that impact that view? And as a follow-up to that, the other costs which are roughly 50% of your COGS, it seems like you’re making a lot of—you’re accelerating the progress you’re already making there. Can you give us an update on that cost basket and what your expectations are?
Steve Kinsey: Sure. As you know, we don’t talk about how we’re covered, but we do continue with our hedging philosophy. So short-time spikes in wheat don’t necessarily affect our overall cost basket, depending on coverage and our plan to take coverage. So I would say even though we are watching the short term wheat market and we do have concern when you see spikes like that, we have positions and plans on positions that hopefully will mitigate the majority of that. As you look at the year and our coverage philosophy, we’re getting pretty close for 2012 as far as being very comfortable with our overall cost structure, so even on the remaining part of the COGS basket, I would say we’re pretty comfortable with that 6 to 9 and the comment that we’re tracking on the lower end of that range.
George Deese: Akshay, I’d say the May 15 edition of Milling and Baking talks about the tour that just went on in Kansas wheat market, and we do see estimates of a record wheat crop. Of course, that can turn with one weather event sometimes, but it looks like there will be a lot of wheat. Now the question will be, what happens with other grains – corn, soybeans, et cetera? But I think the wheat crop in general is looking real good and we just have to see how that pans out in ’13. And as Steve mentioned, ’12 is—we’re not concerned about ’12 at this point.
Akshay Jagdale – Keybanc: And just one last one on Tasty Baking and your sales guidance in general, Tasty seems to be going in line with or better than your plan from your comments, so correct me if I’m wrong there. If that’s correct, are you still expecting three to four points of your 7 to 9% growth to come from Tasty? I mean, I may have that wrong but I have your sales growth breakdown of 7 to 9 driven 2 to 4% by Tasty, 3 to 4 by pricing, and 1 by volume. Is that still the right ranges to look at in terms of breakdown of sales growth?
Steve Kinsey: I think that’s correct. That was the guidance I think we gave in Philadelphia, or at the beginning of the year.
Akshay Jagdale – Keybanc: So Tasty is still going to do 3 to 4%? So even though we only have, like, one more month, I believe, of—
Steve Kinsey: Yeah, we’re about to cycle. That is correct.
Akshay Jagdale – Keybanc: Okay. All right, great. I’ll pass it along. Thanks a lot.
Operator: Thank you very much for that question. [Operator instructions] Our next question is coming from the line of Amit Sharma from BMO Capital Markets. Please go ahead.
Amit Sharma – BMO Capital Markets: Hi, good morning everyone. Allen, just wanted to follow up on the Tasty expansion. As you expand your fresh bread line in Philadelphia, are you seeing a better retail takeaway or better reception from retailers because you were there with Tasty, or does it not have any impact?
Allen Shiver: Yes, I think one of the benefits of the Tasty acquisition, the Tasty company had wonderful relationships with the trade, not only in Philadelphia but also in their expanded markets. And because of the relationship that has been there for many years, we’ve been very successful getting retailers to authorize Nature’s Own and to work with us on shelf space and displays and authorizations and so forth. So yeah, I would say that has been very much of a benefit as we move into Tasty’s core territory with our brands.
Amit Sharma – BMO Capital Markets: And are you able to quantify in any way in terms of either the time for you to fully penetrate that market, or if it helps you with the profitability in a new market that might be delayed in other markets where the issue is not a factor?
Allen Shiver: It’s difficult to quantify how long it’s going to take, but I think as George mentioned earlier, we’re very experienced in expanding our bakery products into new markets, so we know how to do that very well. I’m confident that this expansion through Philadelphia and the northeast is going to be very successful for the Company, but I can’t quantify the exact time.
Amit Sharma – BMO Capital Markets: And on the promotional and the pricing front, as Steve was saying, you’re tracking the lower end and notwithstanding the spike in the wheat market, the trend is down. Are you expecting retailers to be a little bit more aggressive in terms of promotional activity or asking you to scale back some of the pricing that is going through now?
Allen Shiver: I think one of the positive things about this category, retailers understand very well that fresh bakery is one of the top sales categories, and in many cases it’s the top one or two profit categories for the retailers’ business. So they understand that deflation in the category is not a good thing for them, so I would say that I don’t anticipate a lot of pressure coming from retailers to lower retail prices on products that are being sold. The category is just too important to them.
Amit Sharma – BMO Capital Markets: All right, that’s all I have. Thank you.
Operator: Thank you very much for that question. We have no more questions at this time and I would like to turn over the call to Mr. Deese. Please proceed.
George Deese: Thank you, Andrea, and thanks to all of you for joining our call today. I would like to say before we close, as always, I’d like to thank our team members throughout the company for your continued efforts to grow sales and improve operations (inaudible) for our shareholders. Thank you so much.
Operator: Thank you very much for your participation in today’s conference call. This concludes the presentation. You may now disconnect. Have a great day. Thank you.